Aidan Williams: My name is Aidan Williams. I'm Co-Founder and CEO at Audinate. With me is Chris Rollinson, our Chief Financial Officer. In the first part of the call today, we'll be talking through the investor presentation that accompanied our financial statements, both of which were lodged with the ASX earlier today. [Operator Instructions] I'd like to start by recapping Audinate's first half highlights before we move on to covering key operational and financial metrics and then look ahead for the remainder of the financial year. Later in the presentation, I'll be briefly covering the relationship between AI, Audinate's products and technology and the broader AV industry as a whole. Turning to Slide 3. It's pleasing to see 12% growth in U.S. and Australian dollar revenue over the prior period. We've seen strong bookings in the first half, supporting achievement of our full year FY '26 outlook. We've also continued to maintain strong gross margin percentage of 82.6%, and that's consistent, and it's been driven by favorable product mix shift between hardware and high-margin software products. Operationally, we have continued to execute with strong results in key operating metrics. Design wins, that is the number of manufacturers signing up to use Dante technology for the first time, is up 8% over the prior period with 66 design wins over that period. The Dante product ecosystem continues to grow with a further 344 Dante products coming to market during the half. This brings the total of Dante-enabled products on the market to just under 5,000, and that's coming from over 516 manufacturers. Each new design win and product coming to market is a leading indicator of future revenue for Audinate. Training for AV professionals is key to increasing the usage of Dante networking and AV projects and installations. We continue to train 4,000 AV professionals per month in our certification programs and training courses with a total exceeding 300,000 trained and Dante certified professionals globally. After the acquisition of Iris this year, we have achieved a key milestone with the commercial launch of the Iris platform in early December 2025. Iris is a cloud-first video camera control platform, which expands our ecosystem of video products and extends our product portfolio with deep camera control functionality. In the remainder of FY '26, we will be investing in go-to-market and driving the adoption of Iris. Strategically, it has been a big year for Audinate. To briefly summarize, our long-term strategy remains to capitalize on the growing installed base of networked AV devices and provide the software platform used by the industry to deliver projects globally. AV installations are generally understood to require 3 kinds of functions: audio, video and control. Today, including the Iris acquisition, more than 8 million audio/video devices are potentially available in our product ecosystem. Therefore, the time has come for us to invest in the third leg of the stool, that control function, and this has financial and organizational implications for Audinate. Over the last half, Audinate has made organizational changes to better align our cost base with our strategic objectives for the Dante platform. These changes reflect the natural progression of the product investment cycle with several major initiatives now complete. Operating costs for FY '26 were previously indicated to increase by 25% over FY '25, and that was reflecting continued investment in strategic initiatives, including Iris, Dante Director and the broader Dante platform. Following the organizational changes made in the first half, operating cost growth is now expected to be 20% over FY '25. With the completion of the Iris acquisition and the appointment of an industry veteran, TJ Adams, as Chief Product Officer, we have in place key capabilities and talent that will advance our long-term vision of providing an interoperable audio, video and control platform for the AV industry. Turning to Slide 5. You can see key financial metrics for the first half. Revenue for the half was USD 21.1 million, growing 12% over the prior period. In this context, this is around 3x the underlying growth rate of the AV industry according to AVIXA, which has slowed with the abatement of COVID and return to office tailwinds and also tariff uncertainty. Gross margin percentage has increased slightly to 82.6% due to an ongoing favorable product mix shift toward higher-margin software solutions. Post the acquisition of Iris, we have AUD 70 million remaining on the balance sheet, which enables us to prudently invest in our platform strategy. Slide 6 breaks down our product portfolio into 4 categories. Adapters are hardware products sold to end users and AV projects. Adapters revenue increased 51%, supported by the launch of Dante AVIOs for installation. These are a next-generation Pro S1-based adapter targeting the professional installer market. Embedded chips, cards and modules are electronic components sold to AV equipment manufacturers to connect their products with Dante Networking. CCM revenue reduced 4% due to lower demand for Brooklyn and Ultimo, and this is driven by the continued transition to embedded software implementations. Embedded software is royalty-bearing software used by AV equipment manufacturers to connect their products to Dante Networks. Embedded software grew by 17%, underpinned by increased OEM adoption of IP Core. Delivered on-demand, this embedded software reduces lead times and provides resilience against channel inventory cycles. Finally, platform software includes a range of PC and Mac desktop software and infrastructure products for AV installations. Platform software grew 9%, supported by the growing uptake of DVS Pro and early customer wins for Dante Director, our cloud-based AV management tool. Iris contributed USD 100,000 in the first half. Slide 7 shows continued strength in key operating metrics, each of which are leading indicators of future revenue. Audinate sales cycle to manufacturers of AV equipment involves an initial design win followed by a period of 12 to 24 months for product design to be completed, followed by repeat revenue derived from the ongoing purchase of chips or royalties as each new physical unit is manufactured, and that continues over the sales lifetime of the AV product. Design wins are the earliest indicator, and they represent manufacturers signing up to use Dante technology in their products. 66 design wins was a good and consistent result with prior periods, as you can see on the left-hand side of the slide. In the middle column, the number of manufacturer brands with Dante products in the market and importantly, the number of manufacturers developing their first Dante products continues to grow. There are now 723 AV manufacturers signed up to use some form of Dante technology in their products with 516 manufacturers shipping 1 or more Dante-enabled products today. The right-hand column contains a key indicator, which is the number of Dante-enabled products available on the market. During the half, an additional 344 new products came to market, making a total of 4,947 Dante-enabled products on the market. Since the Dante technology provides interoperability between competitive brands, the growing product ecosystem continues to strengthen the economic network effect of the Dante technology and its competitive moat. And I'll now hand over to Chris to talk through the financials.
Chris Rollinson: Thank you very much, Aidan. So what we're looking at turning to the financial results for the first 6 months of the year, and so the year ended 31 December 2025. So for the first time, our results consolidate the performance not only of Audinate, but also of our studios after the completion of the acquisition in the first half of the year. So all numbers in this section are presented in Australian dollars. So firstly, if we look at the income statement for the first half, revenue was $32.2 million, gross profit at $26.6 million, and that represents for both of those key measures, 12% growth on the prior period. So revenue, again, was delivered at a strong operating margin of 82.5%, and this is really driven by the product mix between our chips, cards and modules and our higher-margin software products. If we look at our operating expenses, this has increased by 26% to $28.8 million for the first half. Now this reflects the ongoing investment in core capabilities, but also product innovation in products such as Iris, Dante Director and also the wider Dante platform. These operating costs in the presentation are excluding costs associated with organizational changes that we've made and also Iris acquisition-related expenses, both of these elements not reflective of underlying performance going forward. If we look at operating expenses and employment expenses, they've increased to $21.5 million for the period, and this compares to $16.6 million in the prior period, representing an increase of 29%. Now the increase in the underlying employment expenses is primarily reflected by the acquisition costs -- sorry, the acquisition of Iris. We've got higher variable performance-related incentive costs and also the increase in headcount in the second half of financial year '25, which helps support the further expansion of the Dante ecosystem. So what this translates to is underlying earnings before interest and tax into a loss of $2.3 million, and that compares to a gain of $0.8 million in the prior period. If we turn to the balance sheet, there's 2 key items to discuss on the balance sheet, which relate to our access to cash and also intangible assets. So a key item in the balance sheet that Audinate had access to is cash on hand of $70.9 million. Now that compares to $109.9 million at 30 June 2025. The change between the periods is driven by the investment in Iris, consisting of $31 million, which is net of cash received as part of the acquisition of Iris. And secondly, intangible assets increased to $68.7 million, which is up from $38.6 million and the key driver of that has been the acquisition of Iris in the first half of the year. And then finally, to the cash flow statement. Audinate has delivered operating cash outflow of $0.4 million in the period compared to $1.1 million in the cash inflow in the prior corresponding period. After intangibles -- investment in intangibles and fixed costs, our free cash flow for the period was negative $8.1 million, and that compares to negative $9 million in the prior corresponding period. So the choice to continue our strategic investment in new products, specifically Dante Director and Iris is there to drive our long-term performance and growth, and this has clearly impacted our free cash flow in the current period. But as Adam has outlined, the actions taken certainly on cost in the first half of the year gives us a much better balance of the investment run rate going forward. I'll hand it back to Aidan.
Aidan Williams: Thank you. Okay. So the next slides are going to cover priorities, outlook for the remainder of the financial year, Iris and the implications of AI for Audinate and the AV industry. So this slide, Slide 14, is a single slide summary of Audinate. We have actually discussed many of the metrics on this slide earlier in the presentation, like the total number of Dante-enabled products and the ongoing growth in our training program. So I won't repeat those. Essentially, what I'd like to sort of highlight on this slide is that today, Dante is in over 7 million devices installed all around the world in an incredibly wide range of audiovisual applications. And so you can see a sample list on the right-hand side of the slide. This installed base and product ecosystem is a substantial opportunity for our platform products and services when we execute on our platform strategy. As you likely remember, we recently acquired Iris. As a product, Iris is a cloud-based control-first AV platform with a simple browser-based monitoring and control user interface. Like Dante, it is manufacturer agnostic, and it launches with advanced camera features, including AI auto tracking, color correction and cloud-based recording with a road map to expand into a range of encoder, decoder and vision mixing products. Ultimately, the way I think of Iris is that it aligns beautifully with our long-term vision for unified audio, video and control over networks. The Iris product launched commercially in December with a white label offering and also a direct-to-end user model. There are go-to-market synergies with Audinate's existing manufacturer OEM business and Iris' video capabilities and deep camera control functions complement the existing Dante product ecosystem with things like Dante Director. The slide actually contains quite a bit of information for your reference, and I don't plan to talk through it all right now other than to say that throughout the remainder of FY '26, we'll be investing in go-to-market and product development to drive adoption of Iris and scale with the ultimate aim of bringing audio, video and control closer together under a single interoperable platform. On Slide 16, you can see our priorities for the remainder of this financial year. Ecosystem expansion is our bread and butter. It generates revenue, but it also deepens our competitive moat and creates the foundation of installed products that will benefit ultimately our platform strategy going forward. Integrated solutions is about connecting our audio, video and control features and functions in useful ways for the AV project or AV installation. It means bringing support for next-generation control functions to a broad range of our manufacturing partner products and also our own products like AVIO. Iris market launch is about backing the team to deliver on their successful commercial launch with a coordinated go-to-market strategy and integrating ultimately the Iris and Dante product offerings together. Dante Director Evolution is about delivering Dante Director Pro functionality into enterprise applications with hundreds or thousands of Dante devices under management. Now given the recent commentary on the potential for AI to disrupt a variety of software and SaaS-based businesses, I thought it would be good to share some thoughts on the relationship between AI, Audinate and the broader AV industry. For Audinate, one thing I really want to point out is that the bulk of our revenue is linked to hardware devices that end up installed into physical locations. So here, you should think microphones, amplifiers, cameras and the like. So this revenue model is infrastructure-oriented rather than seat-based, and it is connected to the audiovisual equipment that's needed for physical environments. Another point to make is that the value of Audinate's key technology, Dante, is tied to the economic network effect created by interoperability between competing AV equipment brands. There are currently 7 million devices in the field with an ecosystem of 5,000 or so interoperable products from over 5,000 brands. As this ecosystem and installed base grows, the moat deepens since replacing or reworking the portfolio of Dante products and the installed base all around the world would be very expensive. Ultimately, I see Audinate's and Iris' technology, which is really about networking, APIs and platform services as enabling workflow automation and AI applications. Dante and Iris put audio and video signals onto networks. and they both provide APIs to control them. This creates a natural foundation for AI and workflow automation that can be done in a way that's not been possible in the industry before. More broadly in the AV industry, activity is often project-based with 3 broad phases: design, install and operate. AI is broadly applicable to all 3 phases. So for example, converting requirements to detailed design specifications during the design phase, lots of ways of doing that, either from English language or from automatic scanning of rooms. For system programming work during the installation phase, there's a lot of like programming work, which is kind of analogous to the sort of software work that people do today and for workflow automation and monitoring of audiovisual systems during operation. Furthermore, a technology transition is actually underway in the AV industry. So that's from traditional bespoke AV hardware boxes that get installed into rooms typically with looms of cables and these types of installations, the bespoke AV installation really has limited or no APIs at all. So there's a transition from that sort of physical boxes and wires approach to IT compute and AV software connected by networks like Dante with APIs to control them. The further that the industry travels down this transition, the easier it becomes to use AI technology in AV systems. In the AV industry, Audinate, Dante and Iris provide key networking and control technologies that ultimately end up enabling broader adoption of AI throughout the industry. So I think actually, ultimately, Audinate is uniquely positioned as a key technology provider enabling AI in the AV industry. Finally, Slide 18 summarizes the FY '26 outlook. I won't talk through all of the bullets on this slide. Big picture, ongoing strength in the core metrics cited earlier indicate continued progress in what we call our profitable land grab part of the business with U.S. dollar gross profit growth expected to be between 13% and 15% over FY '26. In context, this represents 2 to 3x the overall industry growth rate, which has been slowing. As I said earlier, our long-term strategy is to capitalize on the growing installed base of Dante devices and provide the software platform the industry uses to deliver audiovisual projects and services globally. The acquisition of Iris, the maturing of Dante Director and the onboarding of industry veterans, specifically to develop our platform business are strategic moves aimed at delivering our long-term vision. Making these moves involves investing prudently. Previously, we indicated that operating costs in FY '26 would increase by 25% over FY '25. But following the organizational changes made in the first half, operating cost growth is now expected to be 20% over FY '25. So to wrap up, there's a nice quote here on the slide, which I'm not going to read, but there is an industry shift underway from proprietary AV hardware to IT style networked and software-driven solutions. That industry shift will enable increased use of AI technologies quite broadly. I can't think of a company better placed than Audinate to drive and capitalize on this industry transformation. And I'm excited by the talent and the capabilities we now have at Audinate to make our vision a reality. And with that, I'll hand back to Chris to coordinate questions.
Chris Rollinson: Thank you, Aidan. So let's just go to the questions. I think there was a question from Roy Van just in relation to, again, how does Audinate think about the potential threats and opportunities from AI as it relates to Dante and Audinate more broadly, given we've just gone over that, it might be just worthwhile.
Aidan Williams: Yes. I guess I don't want to sort of repeat what I just said. I think that's -- what I just said is probably how I would think about it. So there's an element of Audinate's business, which is fundamentally connected with physical devices and physical spaces. And that's the software that goes into microphones and cameras and speakers and things like that. So what we are really engaged in is this industry transformation project. And as the industry actually shifts from bespoke physical bits of hardware with point-to-point cabling to much more in the way of networking, those physical devices like microphones and speakers don't go away. So there's still a need for the Audinate software stack to be inside them. But there's a huge opportunity to provide infrastructure to enable things like AI to be used for the design, configuration, installation of audiovisual systems and also to manage and monitor them in a way to really add value to the audiovisual user experience that people have. So I think we're in an interesting moment where it's very hard to predict what the future will actually turn out to be. But I think Audinate is in a great position because we have -- the bulk of our revenue currently comes from a business model, which is associated with physical environments, physical spaces and infrastructure. And as we build out the software and platform services, that's a different kind of software infrastructure that will enable things like AI automation to take place and it will actually add value to our product offerings going forward. So I think if we're smart, then we should be able to come up with business models that play into an AI future. And clearly, internally, we do a lot of software development. So there's plenty of upside and value to be had for us in terms of our ability to continue to develop, maintain and support the kinds of software products we have today. And so there's a lot of efficiencies for us internally in addition to the comments I was making about the overall industry.
Chris Rollinson: Just a question from Sinclair. Can you provide a little more detail around the Iris go-to-market strategy? Is it focused on OEMs or channel relationships? And is there a need to face end user customers?
Aidan Williams: Yes. So there's actually a few approaches to go-to-market with Iris. Today, Iris is actually in the market with a white label offering from a manufacturer. Going forward, we think that the primary go-to-market motions for Iris will be a channel-based or a distribution-based model where Iris gets bundled in with the purchase of cameras and also a direct-to-end user approach. With the launch of Iris, we've actually had plenty of people jumping on to the free part and actually starting to experiment, and we're seeing those conversions and camera onboarding onto the platform through the direct marketing to end users. It will mean some shift in terms of the organizational structure for Audinate. So it's not entirely foreign from what we've been doing to date. So we have been making products like AVIO adapters that get used in AV projects and installations. Iris is like a software solution that also will be used for projects and installations and/or event production. So going forward, we will be beefing up our go-to-market with respect to channels, bundling, getting the Iris product to be bundled with things like cameras, for example, at the place where people buy them, such as from a distributor or a retailer, but we'll also be continuing on the end user part of it as well, the conversion side of it. So it will have some implications, but that's not dissimilar to some of the platform things that we're thinking about. So selling Dante Director into installations. Iris has a similar, not the same, but similar go-to-market motion as that.
Chris Rollinson: You want to talk about RØDE? Yes. So a question just in relation to Audinate signed an agreement with the Freeman Group and Freeman owns RØDE. So just to explain a little bit more about that partnership.
Aidan Williams: Yes, for sure. So normally, what to say about that? So Audinate would not typically be disclosing things like road map stuff and what products might be coming out. But clearly, RØDE is a global company, providing a whole range of audio and video products. And RØDE has actually also acquired -- if you have a look, they've acquired a number of brands like Mackie and Lectrosonics and things like that, which are in the audio space. So they have a really interesting combination of both audio like microphone, mixers, radio microphones, things like that, but also a very successful range of vision switcher products with things like the RØDECaster and the RØDECaster Pro. So there's -- RØDE is a very interesting company with both audio and video needs. So they're actually also based here in Sydney, which is really nice to be able to go and have a chat with a local Australian company that's also with a global footprint. So that -- yes, I'm not sure what to add to that apart from to say that I think there's a broad range of RØDE products that can benefit from widespread adoption of the Dante technology. And obviously, we're working with them, various brands within the RØDE Group to accelerate and deliver Dante technology in a wide range of road products.
Chris Rollinson: Question just in relation to chips, cards and modules units shipped fell from 243,000 units in the second half of 2025 to 205,000 in the first half. Just a question around how much does that relate to inventory rundown versus structural shifts in embedded software. I think the answer to that is it's a combination of the two. So certainly, we are seeing that structural shift, which we've spoken about previously from chips, cards and modules into embedded software products. And that shift, we expect will continue over the course of the next couple of years for reasons explained. I think in terms of the inventory challenges that were faced previously, I think it's fair to say that we're through certainly the worst of those inventory challenges, and it's really about getting customers back to what's a normal run rate. We've actually...
Aidan Williams: I might be even stronger than that. I would say they're very much in the rearview mirror.
Chris Rollinson: And we've had very strong, just to reinforce that point from Aidan, very strong forward bookings in the first half of this financial year as well, which gives us some confidence around going into the second half and also seeing a bit of a better result in the chips, cards and modules revenue component of the business. A question from Jules just in relation to the OpEx guidance. A question just around expectation around capitalized intangibles for the full year. Roughly, it's going to be around $13 million to $14 million in capitalized expenses going in -- sorry, for the full year is the expectation. Would you want to take that one?
Aidan Williams: Yes. So it's an anonymous attendee. Hello, anonymous. So the question is, how do you see the uptake of AES67 from manufacturers like Crestron in the professional market? How do you address the lost market share? So probably a few ways of answering that question. Crestron is one of the larger companies in the industry who behaves essentially as a walled garden manufacturer. So they really like to use networking technology and also standards as a way of them continuing to deliver all of the components in an audiovisual system. So in a way, because they have that business model, they're not naturally aligned with Dante's world view of maximum interoperability. So even if they are using AES67, you shouldn't take it to mean that their business model is fundamentally about maximum interoperability. So Audinate's business model is about maximum interoperability. I don't consider that we've actually lost a massive amount of market share to -- for Crestron anyway with AES67, far from it. They actually do use Dante as well. And I'd make the point that I think Audinate provides 2/3 of the AES67 implementations in the AV industry as a whole. So we're a big provider of AES67. And AES67 is really one slice or one -- it's the lower layers of the total technology stack that's needed for an interoperable audiovisual system. And there's a lot more pieces to the puzzle that mean that Dante provides quite a lot of value to manufacturers for small, medium, large solutions for things that can run on a single local network, they can span across the campus and they can connect across the Internet. So those things are not within the scope of AES67. It's an important standard. Don't get me wrong. I'm a networking person. I actually was involved in writing some of the standards in the IETF that ultimately become part of AES67. So we understand it well. We're a networking company. We implement AES67 as part of our solutions, and we're actually the largest provider of AES67 to the industry.
Chris Rollinson: So a question from Jules is just in relation to the assumptions around the U.S. dollar that you're using to support the 20% OpEx target. Obviously, we've seen a lot of fluctuations and variability in the U.S. dollar to Aussie dollar exchange recently. We have a mixture in costs of both Aussie dollars and U.S. dollars across our business. The reduction in operating costs in the overall guidance is really driven by the cost actions that we've taken in the first half of this financial year around, as Aidan has said, that transition from a build phase of the investments to more running them on and commercializing those investments. So yes, in terms of the 20% operating cost target, that's really driven by the hard costs that have been driven out of this business, and we have a mixture of Aussie dollar and U.S. dollar costs in our business. A question from Andrew just in relation to Iris costs contributed $100,000 in revenue in the first half of '26. And you flagged continued investment in Iris in the second half of the year. What's the Iris run rate on costs? So overall, if you take contribution of Iris costs, they were around $800,000 to $900,000 for the first half of this year. We started with 10 employees with Iris. We expect to get closer to sort of 15 employees by the end of the year as we build out our go-to-market strategy. So all of the costs and revenues of Iris are then factored into that full year guidance and full year outlook. Are there any questions there, Aidan.
Aidan Williams: No.
Chris Rollinson: Question just around negative cash flow in the first half of the year and the likelihood of a capital raise. Look, we've got $70 million in cash. So the expectation is not at all to use our existing cost base -- sorry, our existing resources and facilities to fund the investment that we've made.
Aidan Williams: Maybe I'll add a couple of comments to that. So I guess one of the -- so if I think back to the previous results roadshow, we were in the slightly awkward position of having made the investment in Iris and had completed some strategic hires. So we had actually onboarded some talent. And so we had a number of -- we essentially had a lot of the costs associated with some significant strategic moves, but we hadn't yet finished the -- or we hadn't worked our way through some of the cost management side of things. So I see the actions we've taken in the first half as really setting us up for having a reasonable -- a sustainable kind of cash burn rate going into FY '27 and beyond, something that's sustainable according to our balance sheet that enables us to continue to prudently invest and not burn -- shed loads cash as we do it.
Chris Rollinson: Question from [ Tim Ladin ], which I think you've already answered, but maybe worth to reinforce just in relation to how we're thinking about the destocking from our top 20 OEMs. Are they back ordering? And secondly, just around U.S. market conditions. So just views on the current U.S. market conditions given some of the tariff uncertainties that we expected going into the first half of the year.
Aidan Williams: Yes. So when we were -- like earlier in this half, absolutely, I think tariffs were very much on the radar. It's funny. It seems like the sort of general sort of news cycle commentary has sort of moved on from it. But it's still there in the background, I would say. So I think even though people are not talking about it in newspapers and stuff, it's still out there, and there's still uncertainty around tariffs. And there's a bunch of supply chain reorganization taking place. The reason why -- I think I just -- I kind of name checked it during the presentation because it isn't, I would say, a hot topic of conversation with manufacturers at the moment. I think there's overall just sort of general softness in the market. People are not harping on about tariffs too much. But I do think that it is just another one of those things that increases the cost of audiovisual equipment, which does tend to cause people to think about deferring expenditures. So it's certainly out there. And it isn't -- I don't think we're in a final state yet.
Chris Rollinson: A follow-up question from Tim just in relation to video products and partners. So in FY '25, we had 122 products, 64 partners. Just thinking through how that has progressed in the first half of this financial year. So I think in terms of the product count for video increased to 148. I think overall, they contributed 10 design wins in the first half of the year. So we still are seeing progression and progress in the video side of the business. So a question just from design wins, 66 design wins. So just an understanding of breakdown of audio and video. So I think we had in terms of design -- 10 design wins from video. So still the majority of design wins coming from the audio side of the business.
Aidan Williams: Yes. So we're just sort of trying to collate questions here. So is Iris and Dante Director -- can Iris and Dante Director be integrated and have a single platform that control audio and video devices from the same platform through the cloud? Yes. And how does that relate to video product traction for Audinate? Yes. So Iris has a video component to it. So there's a large -- there's a strong OEM component to the Iris story. So having Iris-enabled cameras actually puts video signals on the network in the same way that Dante AV does. It's definitely our plan to integrate Iris and Dante Director, for example, into a common platform. An analogy I would give you is there are quite a few software platforms that have various modules in them. So one example that people are familiar with, and I'm slightly cautious of using this example because of the whole SaaS [indiscernible] narrative that's out there. But a company like Salesforce, for example, has a product offering, which is essentially a platform consists of a CRM module, but there's also a sort of financial module. There's an e-commerce module. You can sell things through Salesforce. There's a support module, so you can provide customer support and interact with your customers that way. So there's a whole series of modules and functions that are part of that overall Salesforce platform. That's how I see Dante Director and Iris actually being integrated over time. There will be a series of modules that are part of that platform, the infrastructure platform that people use to deliver audiovisual projects. Some projects will need 2 or 3 of them. Some projects will need all of them, but that's how I see ultimately the platform being integrated together. One of the nice benefits of Iris being a very strongly cloud-first platform is that it does mean that there are some simplifications in terms of the integration of that with our offerings like Dante Director.
Chris Rollinson: Question from Sinclair just in relation to you guys mentioned orders underpinning second half sales. Can you provide some color and visibility as we go into the second half of the year? So we had a very strong result in terms of forward orders in the first half of the year. So that certainly gives us some confidence and also visibility going into the second half of the year around how those orders translate into revenue. Overall, we've got somewhere between 3 to 4 months of visibility in terms of our sales pipeline. So that's in terms of that. [indiscernible] Iris integration.
Aidan Williams: Yes, I think I just talked about that. So that was my slightly awkward sales force analogy.
Chris Rollinson: You want to talk about third-party software tool?
Aidan Williams: Yes, there's a question in -- there's actually loads of questions in here from an anonymous attendee, which I can't quite work out whether it's a real person or some automated thing. But you guys plan to open the platform for third parties to develop tools and software. Yes, we do. Like -- and in fact, that's possible today with things like Dante Director. There are APIs for Dante Director and Dante Domain Manager. So -- and obviously, we provide a wide range of APIs to our manufacturing partners and customers. So there's lots of opportunities in here. And as we execute our platform strategy, the idea is to build more APIs and enable both traditional software developers or users who are installing AV systems to integrate with APIs or as I was saying earlier in the presentation, make use of things like API -- sorry, AI tools that can call those APIs, read documentation, read specifications and requirements and then automate a lot of the current sort of grunt work in terms of programming and delivering audiovisual systems and their workflows. Anything else? I think...
Chris Rollinson: You can answer on the [ RØDE ].
Aidan Williams: Okay. All right. Well, with that, I think we will draw this presentation to a close. Thank you very much for your time. I appreciate your support. I know it's been a challenging year or so, but I'm looking forward to the next couple of years, and I think we've made a number of significant strategic moves that will set Audinate up for sort of long-term performance. So thank you very much. And with that, I think we'll call it a wrap.